Michael Porter: Good afternoon, ladies and gentlemen, and welcome to the -- our conference call for the third quarter. We will make a presentation, and then we will open it up for questions. I got to get some legal things out of the way first. This call includes forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. That involves risks and uncertainties that could cause actual results to differ materially from what is expected. Words such as expect, believe, anticipate, intend, estimate, plan, possible, should and variations similar words and expressions are not intended to identify such forward-looking statements. But in the absence of these words, does not mean that a statement is not forward-looking. The company's expectations are disclosed in the company's documents filed from time to time on EDGAR with the Securities and Exchange Commission. Before I turn the call over to Dante, let me just say that any shareholder who has not voted for the upcoming annual meeting, please vote. And if you have any questions, just give me a holler, and I will be more than happy to walk you through the whole thing. Dante, good afternoon. The call is yours.
Dante Caravaggio: Yes. Thank you, Mike. I'm Dante Caravaggio, President and CEO. I'm pleased to be here with each of you, like most of you, I hope. I'm a shareholder in this company. It's public record, how many shares I own. And I just have to start with saying think we're an incredibly good bargain at this level. And I'm going to start this off with some opening remarks. Encourage all of you to talk to us either through this forum or send us notes direct. I'll give an overview of the field. I'm going to give you the plan for us to achieve 2,000 barrels a day in 2025. And now that we're -- we've been a public company for a year, I'll make a few observations looking in the rearview mirror. So the first thing I'm going to highlight is Q3 was a good quarter. We had record revenues of $7.4 million and record operating income of $1.9 million. But I'm also going to say most of that delta is due to Mitch's heading and Jesse's efficient operations, and they're going to go into detail on both. And it's not necessarily a good thing, when you make money on hedging because some of that is noncash. In our case, a lot of it is noncash, and I just want to be straight with all of you. Looking forward, we have step-changing actions ongoing now to position us for a great 2025. Our key focus being workovers and our plan and workovers is to do 50 a year and add about 1,000 barrels a day a year. That's going to consume us in '25 and '26. We have just started on 3 high potential workovers. Jesse will talk about that. It's part of a 50-well package that will drag much of the way through 2025. And Mitch will discuss recent events that improves our balance sheet and equity position. So with that, I'm going to flip to the oilfield. I'm going to review with you some of the particulars of the field. The most exciting part of this field is that we're in the Permian. We're a pure Permian play and we have 1 billion barrels of oil under our 14,000 acres. And it's stacked pay, meaning, we have multiple zones to perforate and stimulate. So currently, we've got roughly 15 million of proven reserves. We published a press release a number of months ago that said we believe there's 50 million in recoverable reserves and all the data that we've got since then says that number is low. The zones that are in our mineral rights, which are down to 4,000 feet under those 14,000 acres, include the Yates, the Seven Rivers, the Queen, the Grayburg and the San Andres. And you can see those on the right side in the middle of that table on the right side of your slide there. Our focus areas is really the Seven Rivers and the San Andres. We are doing a test in these first 3 wells in the Yates that we're very interested to see how it goes. We are mostly an oil play. 85% of our revenues comes from oil. We make a little gas. We have 550 wells and we have 95 active waterflood patterns. The nice thing about a water flood is that it gives you sustainability of that oil producing rate meaning you don't get a spike up and spike down, which is the typical type curve production decline, you get from, I'll say, a normal Permian fracked well. With that, I'm going to move to our path to 2,000 barrels a day. So just leave it on this slide, Amina. The first thing we did since buying the property is infrastructure hardening. We had to replace 14 flow lines, 50 downhole pumps, 2 expensive horizontal water injection pumps. We did 75 acid jobs, and we did major electrical upgrades. All those things allowed us to, I'll say, be at a sustainable 1,000 barrels a day, which we're bouncing around. Then we've done a lot of engineering with reservoir engineering and geologists and petrophysicists. And that's to look at these wells and determine what's the best way to develop the field. I hate to mention this, but the way we got those records, it was in 450 different boxes. So it's a little bit of sifting through for needles in a haystack, but these guys came up with some fantastic revelations. And the end result is we've got 50 workovers ready to go. We're doing 3 right now. We have an artificial intelligence app in development for the field that will increase our uptime and reduce our lease operating expense. And that will be -- that's been beta tested and it should be rolled out, we hope the end of this month. The real secret to the future and to making 2,000 barrels a day is workovers. Workovers in the Seven Rivers and San Andres, and we don't know yet if the Yates is going to be good or not, but we're testing it. These workovers from all of our engineering work tell us they'll do 35 barrels a day each at a cost of $150,000 each and that's about half what our predecessor owner was spending. And the CapEx per year, we're going to need is around $7.5 million per year to generate this additional 1,000 barrels a day of sustainable production. So that's really our business plan for 2025. 2026 is going to look much the same with a little bit of drilling, and we're starting now to look at drilling locations. So we are a waterflood, but we do rely upon fracturing. And so we're not really looking in '25 to do drill baby drill. It's low-cost workover, baby, low-cost workover baby. So that would be our theme in '25. However, in '26, I won't say that we won't move toward a drill baby drill scenario, but drilling is very expensive. Vertical well is about $1 million, a horizontal well is about $3 million and then these workovers, as I mentioned, are $150,000. So we're going to go at this thing kind of slow and low cost to get there. With that, I'm going to turn it over to Mitch.
Mitchell Trotter: Thank you, Dante. Hello, I'm Mitch Trotter. I'm the CFO. We have talked to many of you on these past earnings calls and on an individual basis. So I want to thank you all for attending today. In this call, I will be giving insights into the Q3 results and a little bit of operations. And then later, I'll turn it over to Jesse to drill down into operations. Before I get into the presentation in the slide, I first want to say the accounting team and the auditors did a really good job of getting the 10-Q ready and they were actually ready to file early. But we decided to delay by a day and that was for a good reason, a pending subsequent event. And that's where we settled with the FPA provider. And the details are disclosed in the 10-Q subsequent event, so you'd have it. But just a few highlights is it removes a potential -- future potential of 3 million shares. It removes a $5.6 million liability that's on the balance. Now that goes away at the end of the year. And the provider did receive some restricted shares, so they really can't sell them or anything for a good 6 months. So when I get into the deck, I'll hit the topside results. Now we'll go to the revenue and noncash expenses and then equity and debt structure, all similar to what I've done in the past. But if you need a deeper dive, please reach out to Mike Porter and he'll schedule one-on-one. Many of you all have done that in the past. So with that, I want to go to the slide on income summary, statement summary. So a couple of items in this slide before we just drill it down into more -- into the revenues and noncash items. But most notably, and Dante alluded to that, we were breakeven at the operating income after corporate G&A, excluding the noncash hedging derivatives, we'll talk about in a minute for the first time. The first 2 quarters, from day 1, we've always had positive earnings from the field but never enough to cover the corporate G&A until this quarter. So that's a good news. We had said that in the past, we would get there and we did. G&A cost, they dropped $30,000 a month. We're running now at $745,000 a month. And our typical G&A is very similar to a public company, that 45% are employee related. 35% relates to professional fees, 15% to insurance and 5% other. The other major line item is lease operating expenses, which averaged $765,000 per month back in Q1. But for the last 6 months, we've been running at a very good level of $700,000 per month. This is what we expect to sustain in the short term. And we are focused on, Jesse, especially to driving it down to $650,000 a month. And that will be over the midterm, and that is a sustainable level with some development. Now the long-term, the LOE will be driven up proportionately related to the future development of the field. So we're in really good shape, I think, with LOE. So next slide on the revenues, please. Now the revenues, without the noncash hedging is $5 million plus a quarter, and we've been consistently doing that. The oil production, gas production, which Jesse and the field team stabilized has remained fairly constant. In Q3, the oil prices popped up about average of $4 across Q3 from the past. So you'll see that's the highest revenue, noncash as well. I mean, the cash revenues that we've had. But the hedging impact, I need to drill down a little bit into that. It goes up and down. It's noncash. The Q1, if you all remember, was a $2 million hit. And that's because the oil prices increased from $72 at the beginning of the quarter to $83 at the end. And then Q2 was flat because oil stayed pretty much the same price at the beginning and the end. Now Q3, we get the huge pickup of the $2 million range, $1.9 million. Because oil prices went down to $70 at the end of September 30. So as I've said in the past, noncash impact looks bad when prices increase, but it looks good when oil prices drop, which is opposite of where you want the cash to be. But with that, if oil prices dropped dramatically from where they are, which is running in the $70 range, plus or minus at the time, we are responsibly hedged to protect the company from a cash perspective. We have 70% hedged over and all over $70 that goes through the end of 2025. So we're -- we think we're in the proper position there. Now I'd like to flip forward on the slide to the noncash expenses and drill down a little bit into that. I do this every quarter. So you get a better understanding of our financials. The numbers on the right have every quarter just like they are in the 10-Qs, and I gave you 6 reference numbers. First one, hedging derivatives we've already discussed. The second one, G&A by quarter. Buried in down there is noncash expenses relating to payments and stock. And by quarter, the expense was $574,000, $360,000 and $260,000 respectively, over the 3 quarters. And these are all on existing type agreements. And the payments will enhance the company's cash position and our balance sheet position. So it's good that's in there, it's a hit but it's not clear, you can't see it. And then when you get down to below the line, you can see about everything else. The warrant liability is the same as before. It just goes up and down by price. The forward purchase agreement, #4, as I mentioned earlier and so Dante, we terminated the agreement. So all of this -- everything reverses back out in Q4 and the noncash impact will flow through Q4 from the removal of the $5.6 million from the balance sheet. And then the last one is the financing cost amortization, that's the same as before. It's all from the financing of the acquisition back November a year ago. And the gain from extinguishment of liabilities, that was a Q2 event. So I'm not going to go into that. With that, let's go forward to the equity slide, please. And I'll just hit on a couple of things real quick. The -- of course, equity is always an interest to this group. The common stock at the end of the quarter was 7.0 million Class A shares and 1.4 million Class B shares and the Class B pretty much the same, except for no economic rights, voting rights only. They convert at any time one for one to Class A. So I mentioned them in the same pile. Preferred stock, no real change. There's really none at the parent company level, but we talk about them because there is at the subsidiary level, there's the same 15 million preferred units which is buried in the minority interest line of the balance sheet. So you don't see it. But everything else is as it was. Warrants still no change from the past. It's basically everything exercise is at $11.50 and we're not in a position, obviously, so for people who will be exercising a lot. Let's flip to the debt slide. And really, again, there's not a whole lot different than we've talked about in the past. The only change is the RBL continues to be paid down based on amortization schedule, and we're now at $25 million, from the original $28 million and the seller note private loans, they're all the same that we've discussed before, and they've been on the balance sheet for a while. So with that, I'd like to hand it off to Jesse Allen to go through the operations overview. Jesse?
Jesse Allen: Yes. Thank you, Mitch. Good afternoon. This is Jesse Allen. I'm VP of Operations at -- for LH Operating. And today, what I'm going to talk about -- I'll talk a little bit about safety. I'll talk a little bit about our actions to increase production. And then, of course, our actions to reduce costs. They all work in tandem together. So first on safety there. Since we've taken over operations back in November of 2023, we've had no reportable incidents. Our field operations team is focused on working safely. And I've always told them that I want you to come to work in the morning safely and then work all day safely and then go home and be at home at night in safety. So there is a focus on safety. Let's go to the next slide, please. So actions to increase production. With my team, reservoir engineer and well log analyst, petrophysicists and, of course, myself, we're following the science to analyze all our producing wells. And so what does that mean? That means as Dante alluded to, we went into the old paper files and there's a wealth of data and information in there that we were able to take advantage of. And then our petrophysicists really tremendous well log analyst has done a lot of work in the Permian Basin understands the Permian Basin and the petrophysics there. And so as a result, we've got a real advantage there in the analysis of our wells. And also, as Dante had mentioned, we have just started 3 workovers, 3 workovers that were a result of all this work. And so hopefully, by the end of this month here, we'll have those wells on test and have some really positive results to report. And also, as part of this analysis, we ended up identifying some stringers within the Seven Rivers that were not included in the original Cobb reservoir  reports. So that's another very positive item that at the end of the day, once we do the testing, we'll increase our reserves. On top of that, we have done some chemical/acid treatments on some of our wells that have had some positive results, and we'll continue to do that. We're cleaning up near wellbore damage maybe some scale calcium carbonate scale, other oilfield scales that result -- and then even change in wettability near wellbore with some chemicals that also help increase the rate of production from each of the wells that are treated. We do continue to do upgrade on our infrastructure, which means replacing some flow lines that were in need of repair but also additional upgrades on our water injection facilities. We've replaced several of our horizontal pumps that we use to inject water in the waterflood. We've done some electrical upgrades, that help keep our wells on production. We upgraded several transformers, one, especially on one of the water stations that did not allow us to inject water at capacity, which we are now doing. And further here in the not too distant future, we'll begin doing that workover program. Three that we've started, there's an additional 45 to 50 that we have in the queue, and we'll begin to start doing those once we get some results on this first 3. And then further along, we will start concentrating our efforts on the waterflood, analyzing our injection wells and starting to convert old legacy injection wells to the Seven Rivers waterflood. So that's kind of our second wave of analysis that myself, our reservoir engineering and our well log analyst, petrophysicists will start to do. Let's go to the next slide, please. Finally, as part of our efforts to improve profitability, which we've had several press releases concerning just that. As I've mentioned, we've upgraded flow lines, returned some wells to production that have been off. And in doing so, we reduced some of our operating expense by a $30,000 per month. And what that really entails is if we've got good competent flow lines with integrity, then you don't have resulting spills that require cleanup. And so that's where the improved OpEx comes from our improved operating expense. And then in conjunction with being able to do all these workovers, we want to be able to test these wells. And so we've upgraded our satellite test stations, change back pressure valves where needed, make sure valves were operating correctly. And then as I've mentioned in the previous quarter, we bought some portable well test units that we can move to individual wells. That will help us in analyzing just how the profitability that we're seeing from the work that we're doing. And Dante, did mention our AI app that we're -- we'll be initiating that will help our lease operators be much more efficient in their daily routine. We actually have the team coming out the first week in December to initiate that app, which each of our lease operators will then begin to use. And finally, we've been able to internalize equipment. As an example, is the hot oil unit that we purchased there in the second quarter. And that -- in and of itself, we reduced our operating expense about $30,000 -- $10,000 to $30,000 per month. Just instead of third-party in that, we now have our own hot oil unit and our operator for that hot oil unit. And finally, as a result of all the work, the science that we've been following we've been able to reduce our workover costs in the range of $75,000 to $100,000 over the work that was being done previously. And that can only improve our economics and only improve at the end of the day, our profitability. So with that, I turn it back over to Mike Porter for some Q&A and to entertain all your questions. Thank you for your time. Mike?  Mike, are you there? Hello, Mike?
Mitchell Trotter: This is Mitch. I see some questions on the website. So I'm just going to answer a couple of those that are obviously mine. The first one is from Sandy. Explain why hedging is noncash. And most of the hedging is noncash. There's obviously some each month where we either owe the hedging company a little bit because it's outside of the hedged amount and sometimes it's below, and they cut us a check. And that settled up right away. But a majority of it is based on the derivative pricing gap where they take oil price at the day of the close of the quarter. And then take it against our hedging numbers all the way through the end of the hedge. So the various monthly hedges, which go all the way to 2025. And calculate is if for some reason, everything was -- they decided to -- we decided to terminate all our hedging agreements, that's what we owe hedging company. But -- so it's a noncash expense and the predominance of these numbers. I personally would like to be able to split it between the cash portion and the noncash portion, so you could see it. But the GAAP SEC consistently all driven by the big 4 say, no, you have to lump it. So hopefully, that answers your question. And then I'm going see if -- Mike is on. Why don't you take it back over.
Michael Porter: Yes. Mitch, the next question is, what is the company's plan to decrease operating costs?
Mitchell Trotter: Okay. I was going to say, let Jesse or Dante go with that.
Dante Caravaggio: Yes, let me try a little bit. When we got the thing, the operating cost, frankly, surprised us and we -- it had to be our top priority. So we spent in '24, almost $3 million working just on that. And to bring down the cost, the AI initiatives, could reduce the number of folks required in the field. And the way it works is you get an alert that this well is down versus driving up and down across the field to find which well is down. So right now, we think even without, say, reducing force, we save money because we're increasing the uptime. That's the AI contribution. The hot oiler machine we just had wells down and couldn't get a hot oiler out there. So if you buy the machine and hire the operator, now you can keep those wells on. So that's another one. And there were so many lines out there that were leaking, you end up with a double whammy. If you have a spill, you have to clean up the spill, you have to report the spill. So we invested in replacing flow lines that had a history of leaking. And you had to solve that. Then you had pumps that were breaking down. We did some experimentation about what's the best pump to put down hole and what's the best pump in sizing to inject water. So we're now a year later and $3 million afterward, and our lease operating expense is getting close to an acceptable range, but we're not done yet. Jesse, do you want to add anything to that?
Jesse Allen: Dante, you did a great job. And I think part of that is that we've got a very experienced field operations folks that are very focused on keeping our expenses down and monitoring what's going on with our wells. So that's part of it, too, is just paying more attention to your wells and having a little more focus on keeping them on production.
Michael Porter: Mitch, I have 2 equity questions. The first is, can you explain what is going on with the 424B3 filings with the additional shares and warrants that are now filling up as of the third quarter. Part B is, let's see, I believe 9.3 million Class A shares and 0.5 Class B shares outstanding as per the 10-Q from [ 9/30 ].
Mitchell Trotter: But can I -- let me take the first. Okay, I see the second one. Let me answer one at a time here. First off, the follow-on S-1 registration was always planned. And in the [ 1.8 ] actually has a -- the significant number of their shares were already included in the -- that we had to register, I believe. The -- there's a big chunk that's relating to settlements paid in shares. We also paid a lot of payables in shares. So that was noncash. That then, in turn, improved our balance sheet and reducing our payables. Same thing with the 1.2 million warrants. It was solely for our largest payable vendor supplier where we did that to be able to eliminate a significant payable from our books. And we may pay in cash and not use it. So that's there as a backstop. Okay. Yes. After the primary difference in the second question is -- and the question is I believe there's 4.3 million shares and 500,000 shares of Class B outstanding as of the 15th. And the reason for the difference is I'd said that the Class As and Bs could be converted to common As. So the 1.4 million Class Bs, 900,000 were flipped  into the A category. So that's why you see that. And part of the other is some ELOC usage, which is already embedded in the numbers and some of the other shares I've already discussed. So I will go back to you. I don't know if you've got any on the call like, but I'll give it to you.
Michael Porter: Okay. Can you discuss financial course costs and sources of funds and possibly extent of equity dilution? Two, can you summarize both positive and negative surprise since the acquisition closed? And what major concerns going forward on oil prices do you take in order to break even and price assumption for your '25 and '26 planning? And then he said, congratulations on your progress?
Mitchell Trotter: Okay. 3 questions in there. The financing costs and sources of fund, well, the financing costs, the amortization comes from the cost of closing the financing cost for the RBL and everything else back in November. So that's the financing cost. The sources of funds is as we've always planned. We have the use of our common stock purchase agreement, which is all registered and we use that at a very low level. So it doesn't have a huge impact on our equity dilution. We do use as stated before, some of our equity to pay down payables or protect our payables position. And then we are always looking at sources of funds from 1 of 3 categories: debt, equity and production sharing. And each one have their pluses and minus and we take our time and evaluate it. And so it's a balancing act. We -- like for equity dilution of possible amounts, we're being responsible in the levels in which we're doing it. And the same thing with debt and the others. So it's -- we go into each one. We have long discussions and we'll deal with that each one as they come up. But everything has got the investor in mind, the company in mind. And obviously, the shareholders. So when we make those decisions, we do it in the best interest for all stakeholders the best we can.
Michael Porter: Next question is, what are your plans to maximize revenues and increased revenue streams?
Mitchell Trotter: Well it's production -- go ahead Dante.
Dante Caravaggio: Yes. I'll mention that. The -- our mission is not to borrow money, not to raise it in equity and not a production share if we can. The problem is we need to get the production of the field up to at least 1,500 to generate enough free cash flow to probably do what we wish. So near term, until I think we hit 2,000 barrels a day, we like the option of production sharing. So it doesn't dilute the stock. It doesn't increase the debt. But we want to get that kind of financing without a perpetual override attached to it. And so we found a few parties that are interested in doing that. So the plan is, right now, as mentioned, we want to do 50 workovers a year at 150,000 barrels a day -- $150,000 each, making between 30 and 50 barrels a day. And if you run the math, 50 x 50 is a lot. And we think we can hit 1,000. We think we can hit 1,000 barrels a day in a sustained way, and then do it again in '26. So '25 is lining up pretty good. The engineering is caught up. We struggled to get all the data together and go through it. And our office in Houston is filled with logs on the wall and maps. And we're actually doing the science that I'd say is comparable to a $1 billion company. And yet we're a very small cap company. But the skill set of our reservoir and geologists are tremendous. So anyway, we've got a backlog of workovers to do as those workovers run dry, which would take us into '27. We have to look at new wells to drill, and we're at 40-acre spacing. If we went down to 10 or 20-acre spacing, we could double the well count. If we went to horizontal wells, we figure we've got 100 of those, we could do. But those are $3 million each. And we don't have the really the desire to raise $300 million right now, but we may dabble and raise $10 million to do a 3-well package, and we're looking at that. So right now, the plan to answer your question succinctly, is increase 1,000 barrels a day in '25 and another 1,000 barrels a day in '26. Now let me go to Jesse and see if he wants to add something to that.
Jesse Allen: Not really, Dante, you're doing a tremendous job recapping. And of course, you and I stay in such close contact that what comes out of your mouth basically comes out of my mouth and what comes out of my mouth comes out of your mouth. So yes, we're both on the same page in that regard.
Dante Caravaggio: I mean we're a small team. We're a small company. Jesse and I really do talk 5, 6 times a day. And he lives 1.5 hours from the field, and we're blessed he's -- not too many people live in Eddy County, New Mexico. But he keeps the sanity by going over there to Texas Tech football games.
Michael Porter: Mitch, let me ask you the next question. The question is, it seems like salaries are very low. Are employee all full time?
Mitchell Trotter: Yes. Okay. So first, I'll thank them for asking the question with the Chairman on the Board, they're telling us that our salaries are low. But we only have 5 employees that are not in the field. The field employees are in the LOE, the lease operating expenses. And they are charged there, and that's actually a balance of full-time employees and contract employees depending on the tasks, but we've structured ourselves and we've all 5 of us have salaries that are lower than we've done in the past, but the -- but is commensurate with what we want to gain in the long term. And we are into building up an infrastructure, a great, big overhead structure. So we've got an excellent accounting firm that does all our recordkeeping and our reserve stuff and everything else and PetroLedger. And we use various legal groups and everything else and consultancies and consultants that Jesse talks about, they're on a consulting basis. And so we're not building permanent infrastructure. That's the purpose of how we've structured it. So -- and as to the other question, I'm just going to answer that, Mike. So my answer which the FPA mean. It's called a Forward Purchase Agreement, and that is where a provider would buy stock after the redemption period is in place. So it's forward purchase agreement and where they would buy it and hold them so that we could tap into those shares immediately after the close to generate cash under certain requirements. And then the second half of that is where they could actually buy shares in the future under the agreement, but it's not quite the same because it's much longer term, really didn't end up having the shares at close that we wanted to and only the [ $3 million ] trailing and that's what we got rid of. The [ $3 million ] probably doesn't help us and it certainly doesn't help the investor base. So that's what the core purchase agreement is like. So I go back to you, Mike.
Michael Porter: Okay. I have just 2 more questions, and then we'll go to the phone. How do you foresee the automatic conversion of preferred units impacting shareholder equity in the near future?
Mitchell Trotter: Well, it won't be the near future, it would be in just right at a year from now. So -- and it's all based on -- it's automatic conversion based on stock price at the time. There is no cash requirement to the company. That doesn't mean we don't have the ability to buy it back at some price between now and then. But -- so there isn't a near-term impact whatsoever. It's a year to year out.
Michael Porter: And the last part of it is, are there plans to diversify the asset base or invest in alternative energy resources to mitigate future risk?
Mitchell Trotter: Well, we are a public company not just for this property and the long term because we have an infrastructure, but we're not building an infrastructure, but we have a cost structure that's a public company so that we can grow the company. We've always said it every -- and we keep having people bring stuff to the table, say you interested in buying. We really look at a lot of deals. Yes, we will diversify. We're an energy company. Obviously, our current sweet spot and being able to bolt on is in the Permian Basin. But we will look at other different types of energy to eventually diversify the company, but not through this one property. So -- and Dante, did you want to add to that at all?
Dante Caravaggio: Well, I guess, there's a lot of things going on. Our gas we get next to nothing for the gas when we sell it. So there's options to -- some people do Bitcoin mining with their gas. So there's also lithium in our water. The problem with all those things, they take energy from the management team to bracket it up. It always sounds nice at the beginning and then it just gets into a maze of details. So our focus really is cut our costs, improve the balance sheet, improve the earnings. And we get to a spot where, frankly, we can relax a little bit, and we're not going to be relaxed until we're above 1,500 barrels a day. So then we could look at those other things in earnest, but they're coming across all the time. We're watching our offset operator competitors what they're doing. Some are doing compressed gas and then trucking it. That's a novel idea. Anything you can do to get a better -- realize a better margin from the gas is really a lot of opportunity there. We do make a little bit of money handling water for our neighbors because we're a waterflood and others dispose of it or just need to do something with it. So we're trying to get a production kick by injecting water. And we're probably at about the capacity that we can handle. So there's not a lot more room there, but we recycle the water. And we also have in the plans at some point to maybe do a little bit of solar to generate power that way. But I think that the most profitable alternative energy source for us is something that we do with the gas, like generate power, and use the power to run the field or to run a computer to look for Bitcoin, especially since the new administration wants to make America Bitcoin Center.
Michael Porter: Okay. Mitch, one more question came in. The question is, I get BPD improved sequentially from 718 to 854. But just compared to this 1,400 growth BPD target number for some time in '25. Where are we on a gross BPD in the third quarter? Has this changed from the end of the quarter to today? What's the target for the fourth quarter?
Mitchell Trotter: The...
Dante Caravaggio: Yes, so let me breakdown...
Mitchell Trotter: Go ahead, Dante. Yes.
Dante Caravaggio: Yes. The acronyms are barrel per day. So the person is asking barrels of oil per day. And we're behind where we hope we wanted to be. We wanted to finish the year really 1,250 minimum, 1,400 in that range, 1,250 to 1,400. And we -- for a while, we thought the acid jobs we were doing were going to lift us into that range. And the only way I can say it is we got overzealous. We had tremendous success doing 6 acid jobs a week. And then we went to 25 a week, and we got so much sediment, paraffin and things break and loose out of the well that we had to stop that and we'll resume that. But I think we're a quarter behind in hitting the targets that we set for ourselves earlier in the year. So I'm not exactly clear on the questions, but I think the answer is the same. We're -- we want to finish next year at 2,000. We want to get at 1,250 as quick as we can. It's not impossible for this year. We're hanging our hat on a lot to hope these workovers go. And then, of course, we have to fund this. So when we have a good story, it makes it easier to raise the capital needed to do this. So I think that's my rambling for that.
Mitchell Trotter: Let me add just also part of the question, Dante, is where were we in Q3? We pretty much were right at 1,000 or just below in gross per day. And I think since then, we've hit up a little bit upwards as high as 1,100, but sustaining just -- I think just now just over 1,000, but I'm not 100% certain Jesse, can answer that?
Jesse Allen: Yes, I think the question was using net numbers, Mitch?
Mitchell Trotter: Yes, but then he switched to gross. They switched to gross.
Jesse Allen: Okay. Fair enough. Fair enough.
Mitchell Trotter: Because that's how we report. So anyway, that's where we are, and it all relates to what Dante was telling. So back to you, Mike.
Michael Porter: Okay. Thank you. Amina, just to make sure that there are no other questions on the telephone. [Operator Instructions]
Operator: [Operator Instructions]
Dante Caravaggio: Amina, there just aren't any.
Operator: There are not. No. There are no questions via the telephone line.
Dante Caravaggio: So maybe we could do a wrap. Should we -- can I do a couple of statements on a wrap? And of course, if somebody wants to start, I'll stop and they can chime in.
Operator: Yes, I'll let you know.
Michael Porter: Absolutely.
Dante Caravaggio: Okay. I've got 4 bullets here for our listeners. And #1, we appreciate the folks that are riding with us. We know it's been a bumpy ride on the stock price and all of us in the management team are shareholders. So we don't like it. The way I view it is the shareholders are going to make us fight and earn it. So we are doing our best to cut costs, increase production. And I have faith that the markets will reward us. But I think to show very good numbers is going to be in Q1 and Q2. So I was hoping we would have a stunning Q4, but I think it's going to slip on us to Q1.
Operator: Sorry, Dante, we did receive a question via the telephone line.
Dante Caravaggio: Okay. There we go. Fired off.
Operator: [Operator Instructions] Please say your name and your company and proceed with your question.
Jesse Sobelson: It's Jesse Sobelson. I'm with D. Boral Capital. I am curious on the operational point here. It's understandable that as you guys are investing in this business and learning the asset that there's a little volatility in where the targets are going to be. And I do think that there is some definitive upside from an operational standpoint once things get going regardless of the time line here. I am curious, we talked about maybe 2,000 -- greater than 2,000 barrels per oil by maybe the end of next year. I know we're getting a little bit of ahead of our skis here with maybe getting to that 1,250 to 1,400 numbers sometime in '25, is the 2,000 still on the table for the end of next year? Or is that something that we might need to look to 2026 for?
Dante Caravaggio: No, no. That's the number. That's the number for '25. These 50 workovers that we have now engineered and we're in the midst of funding, they should get us there. They should get us there. And we're also refining how we do these acid jobs. Like I said, we had a mixed bag. The first 25 or so got us 100-plus barrels a day and the next 50 didn't get us much. So we're still going through that data to make sure we get it just right. But I think it's within reach easy to say, December of '25, we're north of 2,000 barrels a day. The water injection will be going, more patterns will be completed. And you'll have a glimpse of this. As Jesse said, I hope early next month as we report on how these first 3 did went because these are representative, I think, of how the next 50 will go.
Jesse Sobelson: Yes, it definitely sounds like there is some overzealousness with the acid jobs but the workovers are very -- a clear potential for upside to benefit the BPD number in the medium term here.
Dante Caravaggio: We agree. Okay. Anymore, if there's not any more, this dovetails into the theme of '25 and '26 is low-cost workover baby, low-cost workovers. We're not really focused on drilling. Although we have to plan. And frankly, we're going to take advantage of the new administration to try to permit 100, maybe even 200 wells because that could sail through, especially where 80% of our leases are BLM. So you've got a fracking in there as the Energy Secretary under Trump. We might as well get all this stuff on the board. So that's going to really be something. But near term, we're not going there, but we're preparing for it. The business plan for '25 is going to be mostly the same as '26. I think it will be markedly different in '27 as we prove out whether more vertical or more horizontal wells do good. Now I think we're going to have a few maybe 3 or 4 wells in '25 horizontally and vertically, maybe up to 10 and then that will shape our development plan in years forward. But it's -- right now, it's easy to say, do workovers. We're going to take advantage of the 550 wellbores that are just already there. We already bought them. That's pretty much it. I mean, I'm thrilled with the team, and I'm not so thrilled about the stock price thing. But like I said, I think the shareholders are going to make us work for it. We understand the impacts of dilution. We're doing everything we can to make sure all the moves we do don't hurt us. And as far as debt, we don't like debt either. We think right now, near term, the best way to go is by doing profit sharing where somebody gets a prescribed dollar-on-dollar return with no perpetual override remaining so that we regain 100% of all revenues. So that's kind of it for me unless there's more comments. I'll turn it back over to Mike and Amina.
Michael Porter: Let me just thank everybody for being on the call. If you have any other questions, you can contact me at any time, and enjoy your afternoon. Thank you very much. Bye-bye.
Dante Caravaggio: Thanks, everybody.